Operator: Good morning. My name is Sarah and I’ll be the conference operator today. At this time I’d like to welcome everyone to the 2008 year end and fourth quarter conference call. All lines have been placed on mute to prevent any background noise. After the speakers remarks there will be a question-and-answer session. (Operator Instructions) Mr. Wachob, you may begin your conference.
Robert Wachob: Thank you. Good morning ladies and gentlemen. With me today are Dennis Loughran, Chief Financial Officer; Deb Granger, Vice President of Corporate Compliance and Control; Paul Middleton, Treasurer; Bob Soffer, Vice President and Secretary; Ron Pelletier, Corporate Controller; and Bill Tryon, Manager of Investor and Public Relations. First Dennis will dispense with the formalities and then we will get right down to business.
Dennis Loughran: Thank you, Bob. I would like to point out to all our listeners that statement in this conference call that are not strictly historical, are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and should be considered as subject to the many uncertainties that exist in the Rogers operations and environment. These uncertainties include economic conditions, market demands and competitive factors. Such factors could cause actual results to differ materially from those in any forward-looking statements. I’ll now turn it back over to Bob.
Robert Wachob: Thanks Dennis. Q4 2008 certainly turned out much differently than we thought in late October. In early November our order rate slowed dramatically and in December it dropped again. The hardest hit segment of our business was anything associated with cell phones, as there was and is clearly a glut of product in process and in finished goods in the supply chain. As we expect, Durel saw end-of-life on multiple phone programs, resulting in a 75% year-over-year sales decline. Our strongest business during the quarter was power distribution systems down only 3% from Q4 2007. The mass transit in wind turbine markets remained strong worldwide. In 2008 our sales of new products introduced in the last five years were 30 % of our total sales. During the year, we introduced 16 new products that we expect will make contributions to our 2010 and beyond results. Our new product pipeline currently contains over 30 projects. So far in Q1, all products related to cell phone applications remain extremely weak and high performance phone in Durel with some customers having not placed any orders since October. I don’t know when the inventory correction ends, but it won’t last forever, because people are continuing to buy phones even though it is currently only at 75% or 80% of the pace of 2008. One piece of anecdotal evidence that the correction maybe nearing an end, is that two suppliers of printed circuit boards that go into cell phones, reported that they received rush orders last week. In the meantime, we are maintaining our work force by working three or four days in some businesses. When the turn comes, we will be ready to respond. I’ve said several times before that difficult times were coming; we just didn’t know exactly when. There is no doubt they have arrived and in late January we reduced our salaried work force by 10% and reduced annualize expenses by approximately $27 million. All the efforts we made in 2008 to make sure our balance sheet was in pristine condition will yield significant benefits during the downturn, as we have the flexibility and resources to take advantage of the opportunities that we believe will present themselves. In Q1 we expect that the mass transit wind turbine markets will remain robust for the power distribution business, but in-circuit materials will benefit from their recently announced 3G infrastructure build-out in China, which will go a long way towards offsetting the continued weakness in the communication infrastructure in the rest of the world. We have already received a rush order from a major bay station supplier for China, a good indication that the pipeline was very low. We are continuing to fund our strategic initiatives including our new business development efforts. We are however remaining vigilant and will take the necessary measures to keep Rogers a viable entity. I will now turn it over to Dennis for the detailed results.
Dennis Loughran: Thank you, Bob and good morning again to everyone. In the face of widespread declines in the global economy and disappointing results being reported in all sectors, Rogers finished the quarter matching our updated guidance for top line sales, but improving bottom line EPS beyond expectations. In sales, our fourth quarter achieved a level of $78.6 million within our updated guidance range, but at a level equal to 82%, of our past three quarter average of approximately $96 million, showing the impact of mid fourth quarter demand shifts across most businesses, with the exception of power distribution systems, which maintained comparable billing strength and printed circuit materials for low noise, lockdown converters, LNBs, into the satellite TV market, where previous quarters have already seen weakness due to the downturn in the housing market and the weakened economy. Excluding the restructured businesses, Durel and Flexible Circuit materials, our top line for fourth quarter 2008, was down approximately 4.6% from our year ago results, well off the 7.8% improvement for that same metric reported for the third quarter. Earnings per share from continuing operations of $0.01, reflects the impact of $0.43, in cost related to the CalAmp settlement, but also a lowered manufacturing margin of 27.4% related to lower production levels required to match lower sales levels. Our balance sheet continues to provide strong liquidity with cash and short term investments growing during the quarter to $70.6 million from $48.7 million at the end of Q3, and with AR DSOs maintaining strong year-over-year improvement and inventories declining quarter-on-quarter. Both of those working capital assets aggregated to levels of approximately $37 million lower than a year ago. Overall, for the fourth quarter of 2008, Rogers reported earnings of $0.24 per diluted share including discontinued operations. This compares to income of $0.48 per diluted share in the fourth quarter of 2007. The year-over-year change is attributable primarily to the 2008 impact of the CalAmp settlement of $0.43 per share, offset by the favorable Induflex divestiture impact of $0.20 per share, as well as lower sales and operating profits across most business segments. The fourth quarter of 2008 sales total of $78.6 million represents a decrease of 24.8% from sales of $104.5 million in the same period in 2007. With the decline being driven primarily by lower revenues in our restructured businesses Durel and flexible circuit materials, and declines in high performance phones, power distribution systems achieved sales only slightly below year ago levels. Fourth quarter 2008 gross margin was 27.4%, versus 31.6% for the fourth quarter of 2007. In the quarter, margins declined across our strategic business segments, for our continued focus on cost containment was offset by the impact of lower production levels, required to maintain lean inventory levels. The one exception to note is other polymer products, as those businesses in total were able to report improved gross margins in the face of slightly declining sales. Selling and administrative expenses for the fourth quarter 2008 and 2007 were $26.3 million and $19.2 million respectively. This increase was driven primarily by one time costs, related to the CalAmp settlement of approximately $7.1 million. Research and development expenses were $5 million in the fourth quarter 2008 as compared to $7.3 million in the fourth quarter 2007. As a percentage of sales, research and development expenses were 6.3% in the fourth quarter of 2008 as compared to 7% in the fourth quarter of 2007. For both full years of 2008 and 2007, we achieved our target R&D spending level of 6% of sales. Other income and expense which includes income from our joint ventures and royalties, less other expenses, amounted to $4.9 million in the fourth quarter of 2008, compared to $3.7 million in last years fourth quarter. The net improvement is primarily related to increases in other income, on the strength of favorable net foreign exchange impacts totaling approximately $2 million, attributable in part to our global currency hedging program and approximately $1 million related to other one-time charges incurred in 2007, including charges associated with the changes to our legal entity structure in China of $600,000, which offset declines in joint venture income of $2.1 million, due to lower sales and profits reported for our flexible circuit material and polyurethane foam joint ventures. Rogers 50% owned joint ventures had fourth quarter sales totaling $26.2 million, down 25.8% from $35.3 million in the fourth quarter of 2007, primarily on weakness in our flexible circuit material and two polyurethane foam joint ventures. As a result, overall equity income in unconsolidated joint ventures in the fourth quarter of 2008 as compared to fourth quarter 2007 declined by $2.1 million. The company’s 2008 annual affected tax rate came in at 13.9%, which resulted in a favorable impact in the fourth quarter due to year end true-up against previous estimates. The lower tax rate for the year resulted primarily from a greater portion of overall earnings coming from lower tax jurisdictions than was previously projected. In addition, the rate was also impacted lower, when the affective one-time discreet tax adjustments recorded earlier in the year were recalculated using the revised proportions of income from lower tax jurisdictions, resulting in a favorable impact on the overall affected tax rate. We continue to expect the benefits of our long-term tax planning initiatives announced during the fourth quarter, to achieve favorable impact on the international tax component of our rate restructure for 2009 and beyond. We currently expect our 2009 annualized tax rate to be in the 21% range. Turning to our financial positions, Rogers ended the fourth quarter with a cash and short term investment position of $70.6 million compared to $48.7 million at the end of the third of 2008. That improvement related primarily to further reductions in accounts receivable and inventory during the quarter. During the fourth quarter the status of the company’s investments in auction rate securities changed as the company received par value redemptions of $4.4 million. During the quarter, the company also recorded additional balance sheet valuation reserves, bringing the position to a fair value of $43.4 million, against a par value of $50 million. Capital expenditures were approximately $6.6 million for the quarter, bringing capital expenditures in 2008 to a total of approximately $21 million. In 2009, we expect capital expenditures in the range of $20 million. From a balance sheet perspective, we continue to have no outstanding long term debts; although we are supported by available credit facilities totaling $100 million. Our current assets were 3.1 times current liabilities and inventory levels ended the quarter at $41.6 million compared to $49.1 million at the end of the fourth quarter of 2007. Accounts receivable ended with 65.9 days outstanding, an improvement from 67.3 days reported at the end of the fourth quarter 2007. Our focus on efficient cash management has rewarded us handsomely with a solid balance sheet and it will continue to begin at the forefront of our fiscal efforts. This concludes my remarks. I will now turn the call back over to Bob Wachob.
Bob Wachob: Thank you Dennis and now we will entertain any questions.
Questions-and-Answers: 
Operator: (Operator Instructions) Your first question comes from the line of Fred Buonocore; your line is now open.
Fred Buonocore - CJS Securities: Good morning gentlemen.
Bob Wachob: Good morning Fred.
Fred Buonocore - CJS Securities: Understanding that you’re dealing with an extremely challenging environment with less visibility than normal, given the fast moving nature of our end markets, any sense for what the full year revenue change could be? You gave some good comments in your press release about where sales are now year-over-year, but can you give us any sense for what your thoughts might be for the full year.
Dennis Loughran: I don’t think I can do that until the inventory reduction cycle is over, because while that is going on we don’t know what a normal level is going to be.
Fred Buonocore - CJS Securities: Right. You addressed this in your prepared remarks, but any sort of visibility into what’s out there in the channel right now?
Bob Wachob: Yes, we had talked to a fair number of our preferred fabricators for high performance phone and it varies. The ones in Europe mostly said they have two months of inventory in the current sales rate. That’s after not buying anything since October. The ones in the southern part of the US said their sales are down 20% to 30% and we have a senior manager in Asia now discussing with some of the Asian fabricator, who all are basically shutdown.
Fred Buonocore - CJS Securities: Right, for those of us kind of on the outside looking in, any sort of inflection point or any sort of sign posts that we should be looking forward to kind of see where things may change, because as you pointed out, when they change they’ll change fast.
Bob Wachob: Right. There really aren’t, because no one talks about while we depleted our inventories. Some of the trade for us where someone will report that they have just received rush orders for example, when that happens and we start reading more of that, then we’ll know it’s real close to the end. For us we know that it will be a significant step change up. As our high performance phone business for example will probably be down 50% year-over-year, a number that I have seen in 25 years. Normally in recessions it drops 25 and comes back pretty quick, but this time it is quite amazing, the magnitude.
Operator: Your next question comes from the line of Jay Harris; your line is open.
Jay Harris - Goldsmith & Harris: Thank you for taking my questions. Two areas I’d like to hear your comment on. Given the lower tax rate, it occurs to me that on a continuing operations basis you probably lost money in the United States and maybe some other areas. So, I’d like to hear some color on what it’s going to take to get back to profitability and what kind of revenues you will need to breakeven; that’s the first question.
Dennis Loughran: This is Dennis, I’ll address the tax rate issues and then Bob I think can talk about where he thinks that inflection point is on sales breakeven. With regard to tax rate, we had a stronger mix of earnings in lower tax jurisdictions; we did not lose money on an annualized basis in the United States.
Jay Harris - Goldsmith & Harris: All right… Go ahead, I’m sorry.
Dennis Loughran: Go ahead. Expand on what your question is.
Jay Harris - Goldsmith & Harris: Well, I guess I was focusing on the fourth quarter.
Dennis Loughran: The tax rate is a yearly true up against all provisions and all jurisdictions and I can’t tell you specifically for the fourth quarter with regard to the 13.9% tax rate, but certainly the most important factors are your long term earning potential in the United States verse those lower tax jurisdictions, to maintain the viability of long term deferred assets. We are currently in a strong position there over the last three years, our US versus foreign have been very strong, 2009 will obviously be a challenging year, but our projections indicate we will be profitable in the US, more profitable in foreign and that is the benefit that Rogers has established for it’s shareholders. We set up organizations where we moved significant amount of production in profitability, to the extent allowable by the US tax laws, the offshore. The US tax still accrues a significant amount of favorable taxable income in our tax filings from those foreign jurisdictions. So, it’s not necessarily just what’s based in the US, they are still taxing foreign income from us, so it’s still a pretty strong position for us.
Bob Wachob: As far as the break even point, the actions we took in January should cause us to. Of course mix is always a factor, but in the $67 million to $70 million range we should make money.
Jay Harris - Goldsmith & Harris: Okay, the second area and capital spending. I’m sort of guessing that your maintenance capital spending is something in the mid teens and so at $20 million you’re putting in some expansion at some place, can you comment on both of those issues?
Dennis Loughran: I think in the low teens is a good estimate for maintenance capital, and we do currently have plans to complete during 2009 our high frequency production facilities in China and that is obviously all based on our expectation that 2010 will require that capacity. So we are finishing the building as we speak, infrastructure will go in on a pace pattern and that is primarily the biggest; we have other health and safety kind of capital projects that are above our normal maintenance kind of thing that will go in, but we can certainly manage like we did in 2008 to the most lean required, to keep the company’s cash flows viable.
Jay Harris - Goldsmith & Harris: Thank you.
Operator: Your next question comes from the line of Avinas Kant. Your line is now opened.
Avinas Kant - D.A. Davidson: Good morning Bob and Dennis.
Dennis Loughran: Good morning Avinas.
Avinas Kant - D.A. Davidson: A few housekeeping questions first; did you give the depreciation and amortization numbers for the quarter.
Dennis Loughran: I think we we’re in the 5 million range. I think we’re at 18 point something for the year, so five would be about right Avinas.
Avinas Kant - D.A. Davidson: Okay and I think the charges in this quarter were roughly $0.23 or so, so excluding the charges your EPS would have been $0.47, right?
Dennis Loughran: 23 net. The ILD was 20 favorable and the $0.43, so a net of 23 unfavorable.
Avinas Kant - D.A. Davidson: So, excluding both these your EPS would have been $0.47?
Dennis Loughran: Correct.
Avinas Kant - D.A. Davidson: Now when I look at the release though, when you’re talking about $0.20 after tax earnings on the sale of the subsidiary, the number there actually comes down to roughly $0.23.
Dennis Loughran: When you do the discontinued operations, you pull out not only the gain, but also the normal operating profit contribution after tax of the ILD operations for the period that we had it during the year, which is a $0.03 difference.
Avinas Kant - D.A. Davidson: Okay and which line item is that incorporated in?
Dennis Loughran: Discontinued operations, it’s all totaled together.
Avinas Kant - D.A. Davidson: Totaled together I see, you’ve not broken that.
Dennis Loughran: Well, you have to pull it all together in one discontinued operations summary for the year and in restated prior years for that line item too.
Avinas Kant - D.A. Davidson: I see. Okay and the CalAmp settlement pretax was $7.1 million.
Dennis Loughran: That’s the net impact. I mean the pretax net impact of SG&A.
Avinas Kant - D.A. Davidson: And what’s the effective tax rate for that?
Dennis Loughran: It’s at the 13.9% effective tax rate, bottom line.
Avinas Kant - D.A. Davidson: Okay. Now with that, could you highlight a little bit about the 3G opportunity. I’m trying to figure out, at what kind of build out or what percentage of build out, how much of an opportunity could there have been for somebody like you?
Bob Wachob: The three companies in China receiving licenses have announced, China Mobile has announced they will install 150,000 bay stations, 75,000 in 2009 and the balance in 2010. China Telecom and China Unicom, together as they have different systems, so they don’t need as many base stations in total, they will install 100,000 units; 50,000 this year and 50,000 next year. Content, is anywhere between $25 and $160, depending upon the complexity of the station and who makes it. It’s tough for us to know what the revenues are, because of the range of usage of our product is so large, but the good news is that we are designed in to all the major players.
Avinas Kant - D.A. Davidson: Okay and just one clarification Bob. So China Mobile you said will be 150,000 base stations, China Telecom roughly 100K, how about China Unicom?
Bob Wachob: No, China Telecom and China Unicom combined, 50,000 each.
Avinas Kant - D.A. Davidson: And of that 50,000 it will be in this year at ’09 and 50,000 will be ’10 right. Now who is competing with you on this one? What I’m trying to figure out is what kind of market share could we think of in this opportunity?
Bob Wachob: Thin of a market share exceeding 75%, maybe as high as 90.
Avinas Kant - D.A. Davidson: Okay. You talked about the rush order that you received for 3G during the quarter. Do you think is that big enough to move the needle in terms of the fact that – first of all those shipments will be down in the March quarter or June quarter?
Bob Wachob: We already shipped. We have lead times of 5 days.
Avinas Kant - D.A. Davidson: Okay, so the March quarter guidance does include that already?
Bob Wachob: Yes it does. All this activity is in affect almost making up for the decline everywhere else.
Avinas Kant - D.A. Davidson: Right, okay and so do we have reason to believe the June quarter revenues could be higher than the March quarter at this point?
Bob Wachob: That would be more associated with things other than 3G base stations in China.
Avinas Kant - D.A. Davidson: So, could I get an idea, in terms of the March guidance what percentage of that is 3G?
Bob Wachob: Maybe 2%, 3%.
Avinas Kant - D.A. Davidson: Okay, and the breakeven that you talk about; you could achieve that from the second quarter onwards on a $67 million to $70 million, that’s the EPS break even, right?
Bob Wachob: Yes.
Avinas Kant - D.A. Davidson: Perfect. That’s good enough for me right now.
Bob Wachob: Thank you.
Operator: Your next question comes from the line of Fred Buonocore; your line is now open.
Fred Buonocore - CJS Securities: Just a quick follow-up for Dennis; can you give me a sense for how much was the tax true-up. I’m just trying to get a sense for had you not had that in the quarter, what the quarter would have looked like. So, can you give me a sense for what the tax true-up was in Q4?
Dennis Loughran: Well, we had gone into the quarter assuming it was going to be about 25% tax rate and I think we ended up at -- I forget what the effective tax rate for the fourth quarter was; 103%, with a favorable number. Maybe we can go offline and give you the exact impact of it, but it went from basically a tax to a tax credit during the quarter.
Fred Buonocore - CJS Securities: Okay, got it and then just the follow up on the Avinas’s question about the 3G opportunity. In PDS, what would be the biggest opportunity there? Are we talking about trains? I mean how should we think about some of the infrastructure opportunity, I guess is what I’m going after outside of base station expansion?
Bob Wachob: The biggest single thing in PDS is trains.
Fred Buonocore - CJS Securities: And any sense, I mean I would imagine that that may be a kind of a longer term or more stretched out opportunity (Inaudible)?
Bob Wachob: Yes. Also it is the business where we have by far the most visibility because we hold order, that will be fulfilled over two or three year periods and we know how many trains.
Fred Buonocore - CJS Securities: Any substantial amount coming in 2009 or is that more of a 2010 expectation?
Bob Wachob: No, this business has been growing quite nicely, as we penetrated Japan and we are the first player in China. I expect it to hold its own. I’m not sure there will be a lot of growth this year although I do expect significant growth in the wind turbine area.
Fred Buonocore - CJS Securities: And in 2008, the wind turbine would you say is a rounding era, but growing and maybe going to something more material in 2009?
Bob Wachob: Yes, it’ll be more than 2% of our total sales.
Dennis Loughran: Hey Fred, this is Dennis. As a follow up to your tax question if you look at page five of the press release for the income statement for the fourth quarter, the income tax line is about $4 million of a credit. Now, at the 25% rate that would have been a little over a $1 million to roughly $3 million would represent the fourth quarter true up benefit.
Fred Buonocore - CJS Securities: Great, that makes sense. Thank you very much.
Dennis Loughran: You’re welcome.
Operator:  Your next question comes from the line of Dana Walker; your line is now open.
Dana Walker - Kalmar Investments : Good morning everybody.
Bob Wachob: Good morning Dana.
Dana Walker - Kalmar Investments : Could you address when you took the steps that you took to prepare your expense profile. Why you chose the level that you chose?
Bob Wachob: At the point we did that we had a forecast for the quarter of about $72 million. So we made the moves to make sure that we would be profitable at that forecast level. Unfortunately within a few weeks the forecast changed dramatically, so that put us in the position of not having cut quite enough yet.
Dana Walker - Kalmar Investments : What portion of that 27 would you hope to benefit from in Q1?
Bob Wachob: Probably $1.5 million, $2 million at the most.
Dana Walker - Kalmar Investments : Of what will be a $6 million to $7 million run rate per quarter?
Bob Wachob: Yes, and we will get the rest of that in the second quarter.
Dana Walker - Kalmar Investments : We will see that from a line item stand point, roughly how?
Dennis Loughran: Of the $27 million Dana, about $11 million of it was SG&A overhead and business unit SG&A, the other 16 was operating cost improvements that would be seen in operating profit of the business units, mainly in gross margin.
Dana Walker - Kalmar Investments : Recognizing that this is subjective, that is the answer, can you describe since you’ve been investing in your business over the last several years, to what degree do the steps your taking impair your ability to drive your new product initiatives.
Bob Wachob: Although we made some reductions in R&D, we have the ability to keep going on all of our projects. We are not impaired on the R&D side. That’s the part we would really want to protect. Whoever introduces a lot of new products during these kinds of cycles comes down stronger in the end.
Dana Walker - Kalmar Investments : Since the new product involves initiative on your end, but it also involves appraisal and change on the customer ends, given that the world has changed, do you suppose that your customers are going to be more or less receptive to the steps necessary to incorporate new products?
Bob Wachob: They will be slower than they were. Except for those who are in the process of designing new products in which they have some issue, then there will be very receptive to new products.
Dana Walker - Kalmar Investments : We’ve been focusing more on your above the line type numbers, given the weakness that all operations, whether you own all of them or half of them are likely to face, what is the JV experience likely to be in Q1 in the early part of 09? Are you going to lose money there?
Bob Wachob: Yes. The polyethylene naphthalate systems join venture for example will have no sales in the first quarter. Never had that experience before, but the customer built such a big inventory; he doesn’t need to take anything. Our polyurethane foam joint venture is down about 60%. Japan seems to be in a much worse condition than we are and our joint venture in Taiwan is extremely slow. They are operating a couple of days a week.
Dana Walker - Kalmar Investments : You don’t have a cost structure of any consequence that’s supporting PLS; as I recall that’s more a royalty isn’t it?
Bob Wachob: It just means the income we’ve been used to for so long won’t be there, because it’s a commission. No sales, no royalty.
Dana Walker - Kalmar Investments : We’ve had lots of opportunities both on our side of the fence and perhaps on your side of the fence to reflect over what the world’s change might mean. As you think about it on your end, how has it changed the opportunity for your business content wise, value added wise and volume wise?
Bob Wachob: Well, I think for a while the volume is going to be lower and this could take a couple of years to get out of this. It certainly isn’t going to be in three months, the economy isn’t going to be back that quick and so for us we think that the products is what can drive our growth and that there’ll be some decline in the older things, but we should be able to grow beginning in 2010.
Dennis Loughran: This is Dennis, we do take some strength in the fact that infrastructure spend, whether it’s in the energy management or in our high frequency materials to support the infrastructure growth, at least announcements have been with government supporting those types of things and they’ve been fairly strong for us in the first quarter too. We take a positive note that we have fairly significant piece of our strategic businesses are focused in that direction.
Bob Wachob: I believe recently there was an interview with the CEO Sprint who said they intend to roll out WiMAX beginning in 2009, beyond the test city which I believe is Baltimore, that will be a plus for us and also what’s called long term evolution, LTE, which is what Verizon and AT&T will adopt. It seems to be a 2010 beginning event, in which most suppliers of bay stations have completed their design for LTE. I believe they have similar software to do, but they should be ready for demonstrations in the latter part of the 2009 and some potential shipments in 2010, so that will be a plus.
Dana Walker - Kalmar Investments : Plus, in what fashion?
Bob Wachob: We’ll have a whole new set of bay stations around the world. We’d add one more layer.
Dana Walker - Kalmar Investments : Would you content per bay station recognizing that if there’s no need to update a bay station, there’s no business. At least reflect and address in the installed base, but would your content per bay station, everything else being equal be about the same.
Bob Wachob: Yes, I think it would be about the same. What people are excited about in the new systems is what’s called 4G, whether it be LTE or WiMAX, is that they will have the capability of significance amount of video and video will drive that. To the extent there’s a lot of video content then people will need to install those kinds of systems. Of course they’ll run much faster on the data side also.
Dana Walker - Kalmar Investments : The question was asked earlier about your expected market share on the Chinese business, how would you expect to stand competitively on 4G type initiatives, market share wise?
Bob Wachob: I believe we are in a similar situation. That 75 to potentially as high a 90% range.
Dana Walker - Kalmar Investments : The CalAmp issue, undoubtedly, no one could be happy about that, but can you describe what happens to the degree that you can?
Bob Wachob: I really can’t describe the reasons for the settlement. It clearly was a dispute as to who was at fault and we came to an agreement. I believe lawsuit was for $82 million. We came to an agreement that we thought was in the best interest of Rogers to get this behind us and to stop massive legal expense, making lawyers rich.
Dana Walker - Kalmar Investments : How was this, if at all affected you with customers as well as with this customer?
Bob Wachob: I believe we are still doing business with this customer, although it’s hard to tell because they don’t buy from us, they buy from a printed circuit board fabricator where everyone else buys from also and they all use the same material. This had no affect on our business with our other customers, except for people thinking they should get a discount. Once we made a settlement and they saw the size they thought they ought to get a piece of the pie, but we didn’t give anything to anyone.
Dana Walker - Kalmar Investments : Two last questions, can you address your sense for how the market mix of cell phones as it stands recognizing that it’s going to be evolutionary, but how that might affect your content and can you talk about what might be on the horizon in your LNB business given that you benefited from a big upgrade there a year or so ago, whether there is something in the offering in the next couple that might help that side?.
Bob Wachob: I think that’s a steady state kind of business going forward. Since they have all the satellites up, what could change this is when China decides to allow satellite TV to be legal in China. Then there will be a significant piece of business there; obviously because there are so many. There is some business there now, because people some how get their hands on these systems and point them towards the Philippines and Singapore and pick up those satellite signals and we are aware that the Chinese Government announces a week ahead of time when they are going to do the inspections and everyone takes them down. We see no change in technology.
Dana Walker - Kalmar Investments : And the question about content on cell phones?
Bob Wachob: Our content on cell phones is declining to the point, the future is going to be almost completely high performance phones and there see no real change, except for the fact that when they go to a much larger display, they need a much larger LTD gasket and that certainly benefits us.
Dana Walker - Kalmar Investments : And your Durel and your flex exposure presently to the cell phone market is roughly how large in Q1, but your sense for the program just to run.
Bob Wachob: Durel is almost all on automotive. We have some chips. So Q1 sales 2% might be Durel, 2% of our sales might go in to cell phones associated with Durel and in flex its inconsequential, the business is almost over. The Koreans have lowered the price in which it doesn’t make sense for us to sell stuff. That change in the Korean wan is a big impact. Now 1300 or 1400 to the dollar, 900 or so, allowed them to lower their prices dramatically everywhere.
Dana Walker - Kalmar Investments : Thank you I’ll step back.
Dennis Loughran: Thank you.
Bob Wachob: You’re welcome, Dana.
Operator: Your next question is from Ralph Reis; your line is now open.
Ralph Reid - Unidentified Company : Good morning.
Dennis Loughran: Good morning.
Ralph Reid - Unidentified Company : What is the maturity of the auction rate securities?
Dennis Loughran: We have probably 15 or so trenches of that stuff that range anywhere from 10 to 20 plus years.
Ralph Reid - Unidentified Company : You won’t be getting any of that in the next ten years?
Dennis Loughran: That would be redemption from the original issuer. We have seen an increase in activity of redemptions against the type of investments we have which are student loan, government backed type trenches, and the estimates we have would be that the whole portfolio has a chance of being redeemed in the 5 to 7 year time frame. That’s sort of where we expect the redemptions to take place in advance of the original maturity dates of the issues.
Ralph Reid - Unidentified Company : Secondly, can you explain the huge increase in non-current pension liabilities?
Dennis Loughran: This would be something that would impact pretty much everybody’s balance sheet who has a defined benefit pension plan that under performed. In 2008, we would have expected the portfolio on a statutory calculation basis to grow 8.5%. It declined I believe 15% to 18%. So, that entire GAAP in performance has compared to the present value of the benefit obligation. So, what you’re seeing on the balance sheet is that recorded liability on a deferred basis. It’s not an income statement item, because due to the regulations you’re allowed to amortize the GAAP over by the 10 year period. So as we’re projecting 2009, we are looking at increasing our pension expense of about $4.5 million, which would be about one tenth of that GAAP that was created in 2008.
Ralph Reid - Unidentified Company : Okay, thank you.
Dennis Loughran: You’re welcome.
Operator: You next question comes form the line of Jiwon Lee. Your line is now open.
Bob Wachob: Good morning Jiwon.
Jiwon Lee - Sidoti & Co.: Good morning. I had trouble with my line during the Q-and-A, so I apologize in advance if I’m repeating some of the earlier questions. First of all I wanted to get a little more color on the first quarter guidance, whether or not the high performance forms were at least half of the sequential sales forms, on the incremental sales form side and also whether or not there was some extra expense going into the first quarter.
Bob Wachob: Well, the first quarter has $2.5 million charge for severance. The high performance phones versus the first quarter of 2008 will experience greater than 50% decline.
Jiwon Lee - Sidoti & Co.: Okay, that’s fair enough. Then, Dennis did you give more color on how the $27 million cost savings break down on operating model?
Dennis Loughran: Yes, and real quickly it’s about $11 million of SG&A; $16 million in operating profit type of improvements. We don’t expect the first quarter to get any more than maybe a $2 million benefit, but that would be offset by the restructuring and really the run rate of about $6 million to $6.5 million per quarter will be fully impacted in the second quarter.
Jiwon Lee - Sidoti & Co.: When you talk about $16 million in operating profit benefit where does that fall?
Dennis Loughran: It would be in the gross margin arena, so cost of sales basically. So they reduced their head count in operations, lowered operating costs, some material cost savings and obviously professional services, travel, the whole gamut of lever able expense controls is what was hid in that $27 million.
Jiwon Lee - Sidoti & Co.: And on to the high performance forms, could you help us qualitatively of how much of the sales is tied to hand sets and other hand held devices?
Bob Wachob: Maybe 40%.
Jiwon Lee - Sidoti & Co.: Okay and particularly that area out of Asia you were seeing orders just dried out. Sort of how, conveying your message right now…
Bob Wachob: Right, next to no orders.
Jiwon Lee - Sidoti & Co.: Out of Asia obviously, there is still no clear sign, although I would imagine the inventory level is far lengthier than what they have in Europe and the domestic markets.
Bob Wachob: I don’t know that’s what we have somebody over there now to understand what the inventory level is.
Jiwon Lee - Sidoti & Co.: With the oil prices coming down, does that affect the pricing side of your high performance forms at all?
Bob Wachob: Well, we have a lot of pressure to lower prices, but if you are not going to buy anything, we are not going to lower the price. Yes some of the raw materials are in some ways tied to oil.
Bob Wachob: Probably the question is quite difficult to answer, because I will be frank, there are customers listening, there are purchasing agents listening, so you’ll never get a straight answer to that question, you can understand why.
Jiwon Lee - Sidoti & Co.: Okay, we are just doing our job.
Bob Wachob: I know you are. I did it once and I learnt; don’t ever answer that question.
Jiwon Lee - Sidoti & Co.: Finally on the bus bar, obviously the mass transit programs you’re seeing a lot of strength, but could you give us a little more sense as to where you are in terms of dollars or wind power applications and where you think you can go with that business?
Bob Wachob: It’s in the neighborhood of 2% of sales and it’s been growing at 40%, 50% a year, but if it gets bigger you can keep those percentages up.
Jiwon Lee - Sidoti & Co.: Okay, that’s all for me. Thank you very much.
Bob Wachob: You’re welcome.
Operator: (Operator Instructions) Your next question comes from the line of Russ Piazza; your line is now open.
Russ Piazza - Front Street: Good morning, Bob. I wondered if you could give us update on the thermal management products and from a technical end or any kind of interaction you had with potential customers.
Bob Wachob: Yes. We have one program for LID for a CHIP package, but that parts growing really slow now. With the semiconductor industry being in such a funk, no one is introducing new stuff, no one is going to go back and redesign anything. So, that sits not doing so well. Where we are making progress on the evaluation side is what are called the base plates for IGBTs, these are called integrative gate bipolar transistors and they are used to switch high power in hybrid cars, in trains and large motor controls. We see that as quite a lucrative area, and it’s also the same area where bus bars are used in the trains for example. We expect this to be a small business this year, $1 million to $2 million kind of range.
Russ Piazza - Front Street: And on the CHIP side is there a catalyst that would force the industry to move faster on this, a new product or something that would move it along?
Bob Wachob: If someone starts buying new things from them, that would be the catalyst.
Russ Piazza - Front Street: It’s not a technology change or anything on their part?
Bob Wachob: No, just cutting back with sales down, whatever 15% or 20%, trying to save on expenses and one way and if no one else developing new products, there’s no pressure.
Russ Piazza - Front Street: Appreciate all your efforts, guys.
Bob Wachob: You’re welcome.
Operator: Your next question comes from the line of Greg Weaver; your line is now open.
Greg Weaver - Kern Capital: Hi. Just on the Q1, if you ignore the severance charge, what’s the pretax operating loss in dollars?
Dennis Loughran: Sure, let’s see. It’s probably about $7 million to $8 million.
Greg Weaver - Kern Capital: Okay. I just didn’t know what the tax implications were; whether there was a credit in the first quarter?
Dennis Loughran: We are looking at 21% that we gave in the guidance talk, would be the rate we will assume for the year and the quarter. It may come out slightly different than that, but about a $7 million or $8 million loss.
Greg Weaver - Kern Capital: Okay. So, I guess if I work backwards, obviously I could figure it out from here.
Dennis Loughran: I can’t do it very detail, because we give a range and the number I just gave you is sort of maybe the mid point of a range.
Greg Weaver - Kern Capital: Okay. I’m just to trying to rough it here, but just so from a gross margin perspective, then where does that range put you, obviously the top line to the range too.
Bob Wachob: We really don’t give that out.
Greg Weaver - Kern Capital: Okay, I can figure that.
Bob Wachob: And we also don’t really know at this point.
Bob Wachob: There really isn’t one of those things that we use to run the business day-to-day.
Greg Weaver - Kern Capital: Okay. Appreciate it, thank you.
Bob Wachob: You’re welcome.
Operator: (Operator Instructions) There are no further questions at this time.
Bob Wachob: Thank you, just a couple of closing comments. By continuing to invest in new product development and diversifying into new markets, we believe we are laying the foundation for faster growth and increased profitability when the world economy revives. In the meantime, we are tightly controlling our expenses and maintaining a strong balance sheet and looking for new opportunities. Thanks for your attention this morning. Goodbye to everyone.
Operator: This concludes today’s conference call, you may now disconnect.